Operator: Greetings. Welcome to Axos Financial, Inc. First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Johnny Lai, Vice President of Investor Relations and Corporate Development. Thank you. You may begin.
Johnny Lai: Thank you, Sherin [ph]. Good afternoon, everyone. Thanks for your interest in Axos. Joining us today for Axos Financial Inc.'s first quarter 2022 financial results conference call are the company's President and Chief Executive Officer, Greg Garrabrants; Executive Vice President and Chief Financial Officer, Derrick Walsh; and Executive Vice President, Finance, Andy Micheletti. Greg and Derrick will review and comment on the financial and operational results for the three months ended September 30, 2021. And we will be available to answer questions after the prepared remarks. Before I begin, I would like to remind listeners that prepared remarks made on this call may contain forward-looking statements that are subject to risks and uncertainties, and that management may make additional forward-looking statements in response to your questions. These forward-looking statements are made on the basis of current views and assumptions of management regarding future events and performance. Actual results could differ materially from those expressed or implied in such forward-looking statements as a result of risks and uncertainties. Therefore, the company claims the Safe Harbor protection pertaining to the forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. This call is being webcast and there will be an audio replay available in the Investor Relations section of the company’s website located at axosfinancial.com for 30 days. Details for this call were provided on the conference call announcement and in today’s earnings press release. Before handing it over to Greg, I’d like to remind our listeners that in addition to the earnings press release and 10-Q, we also issued an earnings supplement for this call. All of these documents can be found on the Investor Relations website. With that, I'll turn it over to Greg.
Greg Garrabrants: Thank you, Johnny. Good afternoon, everyone. And thank you for joining us. I'd like to welcome everyone to Axos Financial’s conference call for the first quarter of fiscal year 2020 ended September 30, 2021. I thank you for your interest in Axos Financial and Axos Bank. We had an excellent start to our fiscal 2020 with double-digit growth in net interest income, loan originations and earnings per share. We bucked the industry trend and increased our net interest margins on a linked quarter and year-over-year basis on a consolidated level and at the bank. Axos reported first quarter net income of $60.2 million for the three months ended September 30, 2021, and earnings per diluted share of $0.99, representing year-over-year growth of 13.6% and 12.5% respectively. Our book value per share was $24.52 in September 30, 2021, up 17.9% from September 30, 2020. The highlights this quarter includes the following. Ending loan and lease balances were $11.9 billion, up 4.1% linked quarter, or 16.3% annualized. Our loan production was strong across a variety of categories including auto, single-family mortgage, single-family warehouse, and various C&I lending types. Net interest margin was 4.22% for the first quarter, up from 3.92% in the fourth quarter of fiscal 2021, and up 38 basis points from 3.84% in the first quarter of 2021. Net interest margin for the banking business was 4.48%, compared to 4.11% in the quarter ended June 30, 2021 and 3.91% for the quarter ended September 30, 2020, up 57 basis points over the prior years comparable quarter. We maintained our loan yields at 5.12% and reduced our cost of interest bearing deposits by 9 basis points linked quarter to 39 basis points. We continue to make steady improvements in our funding mix with non-interest bearing deposits increasing by approximately $1.5 billion from June 30, 2021. Non-interest bearing deposits now represent approximately 31% of our total deposits at September 30, 2021, a significant improvement from 19% in the corresponding period a year ago. Axos Securities contributed to overall earnings for a second consecutive quarter. Excluding one-time merger related expenses associated with the E*Trade Advisory Services acquisition, Axos Clearing, which includes our clearing and custody businesses, generated $1.5 million of pre-tax income. Both the clearing and custody businesses were profitable even after accounting for the non-cash depreciation and amortization expenses associated with the acquisition. Our efficiency ratio for the three months ended September 30, 2021, was 48.71%, compared to 48.84% in the fourth quarter of 2021. The efficiency ratio for the banking business segment was 39.93% for the first quarter of 2021 versus 41.95% in the fourth quarter of 2021, as a result of strong net interest income growth. Diluted earnings per share was $0.99, up 12.5% from the $0.88 in the year ago quarter. Our corporate tax rate increased from 28% in the fourth quarter of 2021 to 29.1% this quarter. We continue to generate strong returns while maintaining excess capital. We generated a return on equity of 16.55% in the first quarter, and a return on assets of 1.67%. Capital levels remain strong with Tier 1 leverage ratio of 10.14% at the bank, and 9.22% at the holding company, both well above our regulatory requirements. Our credit quality remains strong, with no loans in forbearance and a decline in non-performing assets. Net annualized charge offs to average loans was 1 basis point, down from 7 basis points in the first quarter of fiscal 2021. Non-performing loans represented 1.12% of total loans at September 30, 2021, compared to 1.26% at June 30, 2021. Total loan originations for the first quarter ended September 30, 2021, were 2.3 billion, up 28% from 1.8 billion in the year ago period. The first quarter 2022 originations were as follows: $201 million of single family agency gain on sale production, $430 million of single family jumbo portfolio production, $107 million of multifamily production, $25 million of commercial real estate production, $132 million of auto and unsecured consumer loan production, and $1.3 billion of C&I and CRISIL [ph] lending production, resulting in a net increase of $429 million of balances. Mortgage banking gain on sale generated $5.3 million of mortgage banking income, compared to $2.9 million in the fourth quarter of 2021 and $19.6 million in the corresponding quarter last year. Originations decreased by approximately 16.9% linked quarter to $201 million, while gain on sale margins increased slightly to 339 basis points from 323 basis points in the fourth quarter of 2021. The outlook for mortgage banking remains stable from fiscal 2021 fourth quarter, with a solid pipeline and lower expected gain on sale margins. Our pipeline of single family agency mortgages was $184 million at October 25, 2021. Our single-family jumbo mortgage business had a next quarter, loan production was strong at $430 million or high prepayments resulted in a net $63 million decline in ending loan balances as of September 30, 2021. We're seeing good demand for our jumbo prime product, and the pipeline has risen since September 30 to slightly under $600 million. The combination of slightly lower pre pays and solid new loan origination should allow us to stabilize our single-family jumbo loan balances. C&I lending had a very good quarter. Loan originations were $1.3 billion, reflecting strong growth across CRISIL, construction and commercial assets back lending. Our growing relationships, knowledge and structuring and selective adjustments and loan pricing on some new deals and a track record of execution have resulted in a steady expansion in loan production and net balances. Demand remains strong with a backlog of approximately $687 million as of September 30, 2021. Ending balances in our mortgage warehouse portfolio were at $656 million, up $42 million from $614 million at June 30, 2021. While our single-family warehouse balances will fluctuate based on underlying demand from mortgage refinancing, our goal is to opportunistically grow with new and existing customers. We continue to make improvements in our consumer, commercial and securities deposit franchises by investing in our front and back-end technologies, customer service and product capabilities. Consumer deposits representing approximately 47% of our total deposits, as of September 30, 2021, is comprised of consumer direct checking, savings, money market and non-interest bearing accounts. The weighted average demand and savings deposit cost was 18 basis points at September 30, 2021, down by 26 basis points compared to 41 basis points as of September 30, 2020. Average non-interest bearing demand deposits were $3.6 billion in the quarter ended September 30, 2021, up 46.8% from the prior quarter. Ending time deposits as of September 30, 2021 were down $132 million linked quarter and $532.8 million year-over-year, as we replaced higher costs non-core CDs with lower cost transactional deposits. Of this approximately $1.44 billion of certificates of deposits as of September 30, 2021 on the balance sheet, approximately $1 billion at a weighted average rate of 68 basis points will mature in the next 12 months, with a bulk of the runoff expected to occur in the next six months. Our small business and specialty, commercial and treasury management businesses, including our fiduciary service businesses continue to contribute to low cost core deposits. Axos' clearing continues to generate low cost deposits that were able to put on or off balance sheet. The acquisition of the E*Trade Advisory Services RIA custody business, which closed on August 2, added approximately $1 billion to our September 30, 2021 ending deposit balances at Axos' bank. We had approximately $714 million of client cash deposits from Axos' clearing at the end of the first quarter of 2022, of which $408 million were placed at partner banks. The flexibility to keep those lower cost deposits off balance sheet and generate fee income from other banks or to place them on Axos balance sheets to support our banks loan growth will be an even bigger advantage when interest rates rise and competition for deposits increase. Our Q1 2022 net interest margin benefited from several factors, some of which are structural and a few that are transitory in nature. First, we significantly reduced our excess liquidity with average deposits and other financial institutions dropping by approximately $767 million from $1.9 billion in the fourth quarter of 2021 to $1.1 billion in the first quarter of 2022. We did not anticipate meaningful declines in our excess liquidity going forward. On the loan side, we have successfully held loan yields relatively steady over the past several quarters. However, we have started to slightly reduced pricing on new loans in order to be more competitive for high quality deals. Yields on loans originated in our single-family jumbo, multifamily and C&I lending groups were 4.26%, 4.39% and 4.2%, respectively in the first three months and at 9/30/2021, compared to 5.12% average loan yield in the first quarter that just ended last month. We feel it's prudent to price more competitively on certain high quality deals, while maintaining our credit standards and terms given our success reducing our cost of funds. Lastly, we have dramatically reduced our funding cost across each of our consumer and commercial deposit businesses over the past year in anticipation of having access to over $1 billion of low cost deposits from RIA custody acquisition. With new interest bearing deposits coming in at 18 basis points in the first quarter of fiscal 2022, we have transformed our deposit franchise to be much more in line with that of traditional consumer commercial bank. As such, our ability to continue reducing our funding costs is more limited than it was a year ago. When you consider all these factors, we are confident that our full year net interest margin will be at the high-end or slightly above that of our 3.8 to 4.0 range in fiscal 2022. Our credit quality remains solid, annualized net charge offs to average loans and leases excluding seasonal tax on products was one basis point this quarter, compared to seven basis points in the corresponding period last year. We charged off the remaining $7.3 million of refund advance loans outstanding in the fourth quarter of 202, all of which were fully provisioned for previously. Non-performing assets to total asset ratio was 94 basis points for the quarter ended September 30, 2021, down from 107 basis points in the fourth quarter of fiscal 2021. Of our non-performing loans 82.94% are single-family first mortgages, where we have had historically very low realized losses. Of our non-performing single family mortgages as of September 30, 2021, approximately 86% had a current estimated loan-to-value ratio at/or below 70% and approximately 94.5% or below 80% of our best estimates of current loan to values. Given a low loan to values on our single-family mortgages, we did not anticipate incurring material losses on the vast majority of our delinquent loans. We had no loans in foreclosure as of September 30, 2021. Our loan loss provision this quarter was $4 million, compared to $1.3 million in the June 30, 2021 quarter, and $11.8 million in the quarter ended September 30, 2020. The sequential increase in loan loss provision supports the $464 million increase in lending loan balances. Our total allowance for loan losses was $136.8 million at September 30, 2021, which represents approximately 1.14% of our total loans and leases, which is approximately 48 times our total annualized net charge offs in the three months ended September 30, 2021. Our loan pipeline remains solid with approximately $1.7 billion of consolidated loans in the pipeline as September 30, 2021, consisting of $180 million of single family agency gain on sale mortgages, $514 million of jumbo single-family mortgages, $235 million of multifamily and small balance commercial real estate loans, and 687 million of C&I and commercial specialty real estate loans, with 94 million of auto and consumer unsecured loans in the pipeline. With healthy demand for loans across multiple loan categories, the slight deceleration in prepayments. We remain confident in our ability to achieve a high single-digit to low-teens loan growth in fiscal 2022. We continue to generate strong returns, with return on average common shareholder equity of 16.55% and return on average assets of 1.66% in the three months ended September 30th, 2021, respectively. Our efficiency ratio for the banking segment was three point 39.93% for the quarter ended September 30th, 2021, compared to 45.2% in the last quarter, and the short two months since we closed the E*Trade Advisory Services acquisition, we have already identified dozens of cost synergies by streamlining various processes and procedures. We see additional opportunity to generate operating efficiencies from our clearing, custody and retail securities business in the next 12 to 24 months. As we further integrate systems, processes and personnel. Our capital ratios remain strong with Tier 1 leverage to adjusted assets of 9.22% of the holding company, and 10.14% of access bank. We have access to approximately 1.7 billion of FHLB borrowing, 1.6 billion in excess of 150 million we had outstanding at the end of the first quarter. Furthermore, we have two billions of liquidity available at the Federal Reserve discount window as of September 30th 2021. Our strong organic growth and returns coupled with a clean capital structure allow us to make opportunistic stock buybacks and acquisitions such as the E*Trade Advisory Service acquisition that we announced last quarter. Our securities business has an excellent quarter with strong growth and fee income and net interest income. Broker dealer fee income increased 106.4% in the first quarter compared to the corresponding period last year, due to the addition of fee income from the EAS acquisition. Excluding one-time merger related expenses Axos clearing generated 1.5 million pre-tax income, Axos clearing ended the first quarter of fiscal 2022 with approximately 40 billion of assets under custody or administration, including 25 billion of assets under custody and 15 billion of assets under administration in the clearing business. Securities margin balances increased 35% year-over-year to 341 million, while stock lending increase from 263 million in the first quarter of 2021 to 457 million this quarter. FDIC insured deposits held at partner banks worth 712.5 million at 930,221, up from 672 million at June 30th 2021. EAS, RIA custody business had approximately 1.3 billion of total client deposits in Q1 of fiscal 2022, of which 1 billion was held by Axos bank, and 284 million were held by partner banks. We completed the acquisition of the E*Trade Advisory Services business on August 2nd, and re-branded the business Axos Advisory Services. I want to thank the Axos clearing, Axos Advisory team and Axos bank team members who work tirelessly over the past several months to successfully plan and execute a very complex and rigorous transition and Integration Plan. The acquisition provides us with some key technology platform, and an experienced team of approximately 130 professionals who serve around 190 independent registered investment advisors with approximately 25 billion of assets under custody, including the $1.3 billion of client cash deposits. We see tremendous opportunity to help advisors and their end clients become more successful. By growing the scope and vibe of custody lending and banking services we deal with them. As those advisory services, becoming a part of Axos security will provide significant cost and revenue synergies over those short medium and longer term. For example, by converting the IRA custody business from a bank platform to a broker dealer platform, we will be able to offer additional products such as margin lending, options, trading and securities based lines of credit to existing and new custody clients. We have identified and started to implement various process improvements to the Axos advisory services group that will further improve our customer service levels and help the business become more efficient and scalable. In the next 12 months to 18 months, we intend to streamline the custody and clearing systems and workflow to further integrated businesses. We remain on track to meet or exceed our prior guidance for access advisory services, and will be slightly that, it will be slightly accretive to our fiscal 2022 earnings per share. We thought launched our self directed trading platform at the end of June. Version 1 of our self directed trading platform offering a focus on existing clients, who value the simplicity and convenience of being able to see and transact across various access banking and investment products through one online login or mobile application. We deliberately control the rollout and limited the amount of marketing campaigns. During this initial phase in order to perfect various client onboarding and servicing workflows. We see self directed trading as an additional customer acquisition tool that will expand in terms of the scope of products over time. Once we reach a larger base of self directed trading clients will start experimenting with cross sell opportunities across our lending and fee based businesses, including our Axos invest robo advisor. One product under development is our retail crypto trading service, which will allow access invest customers to easily open a crypto trading account from the account quickly by transferring funds from an Axos bank account, trade a limited number of crypto currencies and see their positions and values all in an Axos application. The cost of developing and operating a retail crypto trading business as well controlled and we will generate incremental fee based revenue once clients open accounts and trade. We anticipate launching our retail crypto trading business in the next six months. Investments we have made over the past several years across each of our businesses and consumer commercial and securities have provided significant strategic and financial rewards to our firm and our shareholders. One example is our deposit platform investments both organic and through acquisition that have generated meaningful growth in our non-interest bearing deposits significantly lowered our cost of interest bearing deposits, and a lot of the flexibility to earn cheese from placing certain deposits that other banks institutions are funding our banks organic loan growth like we did this quarter. We're making additional investments in the securities business including adding more talented team members and investing in technology and infrastructure in order to grow the business profitably. As we leverage the expertise and leadership from each of our businesses and further implement cost and revenue synergy initiatives. We see continued opportunity to accelerate top and bottom line growth. Now I'll turn the call over to Andy and Derek who provide additional details on our financial results.
Andy Micheletti: Thanks, Greg. As recently announced on September 27, after more than 20 years as the Chief Financial Officer of Axos Bank and Axos financial, I have transitioned my CFO role to Derrick Walsh. Many of you have already met Derrick, who has been with access for more than eight years, six years of which we're our Chief Accounting Officer. I'm proud to turn over the mic to Derek, who will cover some additional points on the quarter's results.
Derrick Walsh: Thanks, Andy. To start I'd like to highlight that in addition to our press release, and 8-K with supplemental schedules and our 10-Q were filed with the SEC today and are available online through EDGAR or through our website at axosfinancial.com. I will provide some brief comments on a few topics. Please refer to our press release or our SEC filings for additional details. As Greg mentioned, our provision for credit losses was $4 million for this quarter ended September 30, 2021 up from 1.3 million for the linked quarter ended June 30, 2021 and down from the 11.8 million in the quarter ended September 30, 2020. The increase in the linked quarter provision was due to the quarterly increase in loan balances and the mix of loan types as of September 30, 2021. The decrease in the current quarter from a year ago was primarily due to a 6.5 million reserve for non-recurring refund advance loans for the three months ended September 30, 2020. As well as favorable changes in economic and business conditions between September 30, 2020 and September 30 2021. As we look forward to additional loan growth over the next year, we expect the loan loss provisions to generally move with the ending balance loan growth. Moving to non-interest expense. For the quarter ended September 30, 2021 operating expense was $84.4 million up $2.6 million or 3.1% from the linked quarter ended June 30, 2021. The primary reason behind the increase in operating expenses is due to the addition of Axos Advisor Services or AAS, the rebranded e-trade advisor services business line. AAS was acquired in early August and the full impact of operations is expected in the second fiscal quarter of 2022 and beyond. Salaries and related costs increased by $3.5 million on a linked quarter basis, primarily due to the acquisition of 124 AAS employees and the addition of new employees to support growth in both our Banking and Securities, businesses. Depreciation and amortization expense decreased 0.5 million from 6.2 million at June 30, 2021 to 5.7 million at September 30, 21 primarily due to the completion of amortization of previously acquired software during the June quarter. With the addition of amortizing intangible assets for AAS, we would expect depreciation and amortization expense to increase back to the fourth quarter level. Occupancy costs decreased $1 million on a linked quarter basis, primarily due to a $0.9 million one-time charge that was incurred in the June 30, 2021 quarter associated with subleasing the New York City office space.  Finally turned into capital. Despite deploying a portion of our excess capital this quarter through the addition of AAS, we are still able to grow tangible capital during the quarter as tangible book value per share increased from $21.36 at June 30, 2021 to $21.43 at September 30, 2021. Our capital ratios remain strong with a Tier 1 leverage ratio of 10.14% at Axos bank and 9.19% at Axos financial. With that, I'll turn the call back over to Johnny.
Johnny Lai: Thanks, Derrick. Operator, we are ready to take questions.
Operator: [Operator Instructions] Our first question is from Michael Perito with KBW. Please proceed.
Michael Perito: Hey, good afternoon, guys. Thanks for taking my questions.
Greg Garrabrants: Hey, Michael.
Derrick Walsh: Hey, Mike.
Michael Perito: Derrick, I want to stick with you on the cost stuff that you just ran through for a second here. So it sounds like adjusted for the merger expenses, some amortization that was slightly lower than normal maybe we're in like that $82 million ballpark on the core expense figure for the quarter. I guess, just to kind of a two part question. One, how much more I guess I had a little bit higher EAS related expenses than actually came through is how much more of the quarter run rate is there to come into that from EAS and then secondly, as we look out over the balance of fiscal 2022 here with some of the initiatives, Greg talked about, you know, how should we be thinking about kind of the layer up of expense growth as you start to roll out things like retail, crypto trading and others?
Derrick Walsh: Sure, so with the – I highlighted the depreciation and amortization expense, you'll see the amortization of the intangibles increase, and we'll return back to kind of more of the Q4 level on that front. And then we acquired EAS as a reminder in early August. So we really only had about two-thirds of those expenses in the quarter for September 30. So you could basically take the – take those numbers and take one-third of that increase from Q4 to Q1 that's generally a safe approach as to how to project the going forward that expense run rate.
Michael Perito: And in terms of the – any of the upward pressures from some of the initiatives you guys have going on beyond that. I mean, is there some thought process around you can maybe guide us to there, whether it's maybe looking at the efficiency ratio on the bank or something else, or….
Derrick Walsh: I think those – well, the crypto will really come through the security side of the business. And so it won't have a impact on the bank efficiency ratio necessarily. But then the growth from those other initiatives really is baked into our standard growth rate. There may be a little bit additional expense there. But it's not going to be some substantial expense increase related to those. And the other thing to remember there is a lot of that will also be development as well, which will be capitalized and amortized over a three year period most likely. So those are a couple of ways to think about it from that standpoint.
Michael Perito: Understood, helpful. And then secondly for me, just I guess was with EAS now on board. Greg, you talked about the retail crypto trading for consumers? Is it fair to think about the product and also all the lending opportunities that you guys have. I mean, is that kind of the full suite of products here on that side of the business, or is there other things you think you'll need to kind of evolve in the fairly short term here to continue to be competitive? And assuming that that's most of what you're going to roll out, do you think that there's probably a fiscal 2022 could see some decent improvement and just in the margins of that business, relative year-on-year,
Greg Garrabrants: I think it's going to take probably to say significant improvement, I think that's going to be more fiscal 2023 type event. The reason why is that, what we need to do is we need that – we have a lot of technology work we have to do, including integrating UDB into those securities businesses. There's a lot of reengineering on the process side that we need to do. And a lot of those things are linked. So in other words, we have a mailroom opening, checks manually and depositing them into accounts, right, that needs to happen through UDB, right. So there's -- we're not -- at this time, we're not going to be charging customers more for that. But whenever we can increase those efficiencies, we can go get new clients, because our costs will be lower, and we'll be able to price better. And this is a price competitive business, the pipelines look good. But then when you get to pricing, you need to work through that. What really makes – obviously, our goal, which I think is a aggressive goal, the one that we've achieved already and will get better is to essentially make this business work in a zero interest rate environment. Now, you always have to remember, though, that there was -- we were paying a couple basis points when rates were to 25 on clearing, and we're paying a couple basis points today. So for every 100 basis points, that's a $20 million drop right there. To the bottom line, obviously, you can debate how you think about that given some of the some of it is on balance sheet, some of it is off. But, this is obviously, a rate sensitive business. So I think it you know, it helps us, on the asset sensitivity side, but then also, these are great customers. And so there's this quarter million high net worth customers that we need to be able to access for banking products, there were a single platform, which doesn't exist yet. And there's a lot of work to do, and we'll be doing all that work in this next year. And then, the next year is about getting adoption and rolling it out, and making that happen. So if you look at these businesses where we're working good businesses, but they're also from a relative maturity perspective, operationally, they just have a lot of room for improvement, which is great, because we think we can essentially grow volume and reduce costs at the same time.
Michael Perito: Helpful. And just one last quick follow-up on that pointing out step back, just on the sensitivity post EAS here I mean, and everything else you guys have done over the last two years. I mean, it certainly feels like the balance sheets much better positioned for higher rates, looking at the deposit mix alone kind of tells the story. But it's just curious if you can maybe try and put some numbers around that on the short end of the curve here. If we start to see some movement, just any initial thoughts about how this pro forma balance sheet and the NII might react.
Greg Garrabrants: Yeah. I think from short-term interest rate movements, I think the securities, cash and the non-interest bearing deposits don't move too much given that they're from the bankruptcy side, which never gets paid rate and the security side, which doesn't get paid rate. And then we have some commercial, and those will be -- that those will probably behave like other commercial deposits in the industry. I think the question is, as we move -- continue to move towards growth, I do see a little bit of tightening. I mean, it's a little right now of the deposit market with respect to balances. And so if rates are going up and we're still growing, but I think we would be paying a little bit more for those clients. I think one of the things that we're obviously trying to do, we just won Money Magazine's Best Online Bank, finally beating Ally, they finally got there. Got there, got it straight, right. I can't -- I've never know why they possibly pick Ally. But in any event, we have -- if you open a trading account, if you open an invest account, then that collectively results in a better package of benefits, right? So, those sorts of accounts, should result in enhanced stickiness. But we obviously -- we've been through -- haven't been through a rate cycle with all those things together, but I think we're clearly in very good shape. And then obviously, for growth, we also have a lot of those security deposits off balance sheet as well. And then we're playing with whether we can raise deposits for the lower cost and others are paying us, which is often the case right now. Will it be the case at a higher interest rate environment? I have no idea so.
Michael Perito: Right. And just to be clear, you're basically talking about kind of like -- some of like those reward type programs that we see a lot of like the consumer FinTechs out there doing where you're right -- when you find things together--
Greg Garrabrants: Yes, right. Right. Right. Yes, subscription type programs where someone is self-trading and they're getting a lot of research, are they as much -- are they as rate-sensitive on a companion checking account? I think the answer is no. But that's -- all those things are there -- but I say look, I think we'll do pretty well probably. Obviously, there's always been correlation between loan growth and deposit rates. But I think we have really transformed and done a ton on our deposit franchise and is obviously showing up at the numbers.
Michael Perito: Great. Thank you for the insights. I'll let someone else jump to appreciate it.
Greg Garrabrants: Sure.
Operator: Our next question is from Andrew Leisch with Piper Sandler. Please proceed.
Andrew Leisch: Hey, good afternoon everyone.
Greg Garrabrants: Hey Andrew.
Andrew Leisch: Question on the loan growth guidance here, moved it up to at the high end the low teens. Certainly looks like the warehouse business is stabilized and you're making some moves to help keep the jumbo book from declining to much further with some of the rate competition. So, what could trip you up and have the loan growth be at that low end? I know we're only a quarter into the fiscal year, but what could trip you up there?
Greg Garrabrants: Prepayments and C&I are in crestal. There's -- the great part is those loans are very good credit quality, the bad part is they pay off quickly. So, that can happen for all sorts of reasons. That would be one -- that'd be one area. Look I think our jumbo book is looking better and we have cut prices. So, we're definitely trying to defend loan growth and we've done some rate reductions in order to make that happen as what -- when we talked about the rates that that are in the current pipeline versus the rates on the books. So, look, I feel pretty good about it. I know as a pipelines are good, but it doesn't take much in prepaid pickups as the larger of book gets to move any individual quarter in a way that would not quite meet the number that you're talking about. I mean that being said, we feel pretty good about it. We said high single-digits low teens and I think that's conservative probably, but I -- it could be a little bit higher, could be lower.
Andrew Leisch: Got it. Helpful. And then with the margin here up at 422 -- again, with some of the rate movements. Do you think its topped out here, at least until maybe the Fed does something on the short end LIBOR moves higher?
Greg Garrabrants: Yes. I think that's a good assumption.
A – Derrick Walsh: Yes, we, I think – yes, we do have some little benefit from some deposit runoff. But you did see the difference in loan rates between what loan rates are coming on. And given how quickly our book turns that that'll start flowing through. So..
 : Yeah, yeah. Great. I'll flip back. Thanks.
Operator: Our next question is from Steve Morris [ph] with B. Riley Securities. Please proceed.
Unidentified Analyst: Good afternoon. 
Greg Garrabrants: Hi, Steve.
A – Derrick Walsh: Hi, Steve.
Unidentified Analyst: Maybe just maybe just following up on the loan pricing here. Just a little different way -- just kind of curious, I mean, obviously competitive environment, pushing you to cut prices here. But just kind of curious, are you also maybe moving up in terms of loan size, or has it been any change in terms of some of the loans you're pursuing within the CNI and Krusell [ph] bucket?
Greg Garrabrants: Not really. I think that's been pretty steady. And you know, on the CNI side that doesn't, that's just a raid. Right, Derek? It doesn't include fees. So there's obviously fees get, you know, amortized into the raid and things like that, which boosted. But no, I mean, I think that that business is pretty, you know, I think our business max really hasn't changed. It's, you know, it's just the result of, you know, where we think we should be for the deals we want and what we can get. 
Unidentified Analyst: Okay. And then just maybe following up on expenses here. You know, I hear you guys in terms of the investments and some of those investments being capitalized here. Just kind of curious how to think off the expense growth kind of sounds like call it an, you know, $85 million -- $86 million type expense for the third quarter, just how do we think that's kind of off that range of for the rest of the year?
Greg Garrabrants: The -- so I mean, some things to think of, again, as you look at the salaries and benefits. So you had only a couple of months of the a of 124 employees coming on as part of the AAAs acquisition, those only hit for two months of that of that quarter, a little less than two months. The same idea around the occupancy in equipment, so we assumed an office space lease in the Denver market and so that's going to drive that up a hair, and then the data processing and internet is probably going to be around the range of where it's been this quarter and last quarter roughly. So that's kind of been the run rate recently.
A – Derrick Walsh: And that was probably I mean, we raised this with respect to salaries,
Greg Garrabrants: A drop a 5% to 6% increase on base salary excluding AAS this as we did..
A – Derrick Walsh: Correct.
Greg Garrabrants: …for us coming in, where it where it is, but we do our evaluations annually and then raised around in the..
A – Derrick Walsh: End of September. So not much of a hit during the September quarter. So you'll see that increase in Q2. And then we talked about depreciation, amortization and broker dealer acquiring charges will increase. Same idea kind of one-third more from -- from the increase or from you'll see a take-off in Q2. There's been some movement, obviously, depending on the market with regards to how many transactions are flowing through and how hot the markets are from a clearing charges that we incur as portion of that.
Unidentified Analyst: Okay, great. That's very helpful. Thank you very much, guys. Good quarter.
Greg Garrabrants: Thank you.
Derrick Walsh: Thank you.
Operator: Our next question is from Gary Tanner with D.A. Davidson. Please proceed.
Gary Tanner: Thank you. Good afternoon.
Greg Garrabrants: Hi, Gary.
Gary Tanner: Hey, in terms of the off balance sheet deposits, I think I heard the number in total around the $1 billion or $1.1 billion. Is that what I heard at quarter end?
Derrick Walsh: Off balance sheet, we have about $650 million to $700 million.
Gary Tanner: Okay. So, in terms of thinking about volatility of the on balance sheets deposits, it sounds like right now, Greg, you're saying that you could get incremental deposits cheaper than what you're getting paid by the other bank. So maybe in the current environment, it's not really an issue or a question in terms of modeling the balance sheet, but is this a daily sweet decision, or are you modeling for cash needs over a period of time as you work the off balance sheet deposits? Are they committed, there's actually some…?
Greg Garrabrants: There are some -- the way that commitments generally work as people get to participate in the waterfall and in some cases were essentially promising term to the extent that there is money in the waterfall and then we're essentially terming out some of those, but the terms generally aren't too long, we can get a little bit more rate for that. But it's part of our liquidity planning process with respect to that. So yeah, there's not but what's the longest deal? It's pretty short, right?
Derrick Walsh: It's a couple years -- it’s our longest deal, but it is tied to -- we can pull it back if we need to, the default is, the rate just gets adjusted. And so that, so the higher rate falls back. So we still even have the option to pull that money if we need to as we look at that. But Gary, we have more than 10 to 12 banks that we can allocate to and we're adding more, so part of the process depends on, which banks are interested. It does take awhile to set them up into the system. But we do have flexibility on a daily basis to move money around to do that, but it does require partner banks that are willing to step up.
Gary Tanner: Okay, thank you. And then to clarify on the talk about the one-time cost associated with E*Trade. I know that in the past, the way that you all highlight the acquisition related costs in your Q, in your press release includes at least partially just regular way amortization of intangibles. So of the $2.8 million of acquisition related costs that are highlighted, how much of that is just ongoing amortization of intangibles versus actual non-recurring cost?
Derrick Walsh: The bulk of it is amortizing intangibles. There was about three to – around 300,000 that was one-time costs.
Greg Garrabrants: The benefit of being your own investment banker.
Gary Tanner: All right guys, thank you.
Operator: Our next question is from Tim Coffey from Janney. Please proceed.
Tim Coffey: Thanks. Good afternoon, everybody.
Greg Garrabrants: Hi Tim.
Tim Coffey: Hey, Greg, the – I think in a Q, you talk, there's a line item about the spiral securities and margin lending, about 900 million average balance, 3% yield, which is obviously better than 20 basis points. I'm wondering, do you have any kind of visibility into those balances going forward?
Greg Garrabrants: Yeah, you know, I think that when people feel good about the markets, they tend to focus attention on maybe doing a little more borrowing. So, we think that's a pretty sustainable level. Obviously, some of that -- you see some of the stock borrow, that's where we're lending stock. And that has a different rate, that's more variable there. But I think that there's going to be over time. I don't think in this -- this year, this is going to be simply the -- it's going to be market driven by the customer base, which is slowly growing, and it'll be reflective of in general, sort of demand for margin from other broker dealers. There is, however, a lot of opportunity, because over time, we just have to make it happen. And it's interesting, because AAS was actually part of e-trade bank. They didn't do margin lending. They didn't at all. So there's a whole set of RIA’s with $25 billion of assets under custody with us that wants to do margin lending. So the system right now doesn't accommodate that. So we are working on that. When that happens. We'll have to see how much demand there is. And then also through the platform, the ability to do one touch us block lending, quick margin from self directed and other things like that is a part of the strategy. But it's not -- it's not something that's going to be fiscal 2022 impactful.
Tim Coffey: Okay, got it. And on the rate on those, what's that dependent on?
Greg Garrabrants: It's negotiated with our broker dealer clients who are -- there's 75 Plus independent firms, and we're negotiating with them. And they're determining what rate they're going to bring to their customers, how much they're going to keep and how much we're going to keep. We're working jointly on it.
Tim Coffey: Okay. Great. And then staying on that schedule, is there a target rate or balance or percentage basis in terms of cash and cash equivalents, liquidity, basically, that you need to operate your bank going forward?
Greg Garrabrants: Yeah, I mean, we've got -- I think, around where we're at this quarter, that kind of the average balance that we had this quarter is probably consistent. It'll flock second flux by 100 million, 200 million, depending on deposit inflows and outflows and just the timing of some of those. They don't always come in exactly when we expect them to come in. They may get delayed by 15 to 30 days, or they may come in earlier 15 to 30 days. So that's where you'll see that that flux, but this quarter is probably a reasonable average, give or take a couple 100 million, that will be yeah,
Tim Coffey: Okay.
Derrick Walsh: We have, you know, think about 5% on balance sheet liquidity, but at that at sort of a place where we want to not go below, but the interesting thing about the securities type deposits is that they really do provide an additional source, as well, particularly when they're off balance sheet. We don't count those of course, but they're there as a as a component of available liquidity.
Tim Coffey: Okay. And sticking on that point, with the maturity in the CD portfolio the next six months, and obviously more -- over the next 12 months, is there a real strong appetite to hold on to some of those at lower rates, or do you feel like your liquidity…
Derrick Walsh: Sure. We do basically do -- I mean we renew about, you know, a third of those, and they're at much lower rates, and people are just sticking, because there's not a lot of other places to go things to do. We have conversations with each person to the extent that it's, you know, they're interested in doing that to talk about other options for them. And so yeah, so there's a percentage that get maintained. We don't have, frankly, the highest rates in the market. So if somebody's very, very rate sensitive and focused, they're going to be able to find something more -- little more suited to them. But we but we -- we're competitive, so we do retain a portion.
Tim Coffey: Okay, great. Well, I appreciate those were my questions. Thank you.
Derrick Walsh: Thank you.
Operator: Our next question is from David Chiaverini with Wedbush Securities. Please proceed.
David Chiaverini: Hi. Thanks for taking the question. I had a question on products in development, because it seems like you're well on your way to building a super app, you can do banking and savings, self directed trading and investments peer to peer payments, crypto within the next six months. The question is, are there any features missing? For you guys to compete with save squares Cash App? Is that something you even aspire to?
Derrick Walsh: Well, I think that -- yeah, I think it to the extent that, I mean, talk about square like squares cash out for example, I would say that, I think frankly, we have a lot of things we do that are much better, right? I mean, by the time we're done with what we're doing, y'all have small business accounts that can sit right next to your personal accounts open through a universal enrollment, you'll be able to have your crypto, trading your securities your Robo advisor, and I think we're going to build -- I think we'll be able to build a much more robust. Let's, for example, let's just, let's just talk about a Robo for example. So with what we have, in AX, they have a Model Management store. So most Robos are really simplistic about what models you can choose, while our Robo will be built into ARC store. So, the client will have a lot more model choices that they could use in order to manage their money through the Robo side. So yeah, I think we have all the pieces we need to do that and then there's just -- there's just development to make that happen. And then UDB 2.0 is a -- is -- has a planning tab that essentially works through a variety of features and functionality to help people plan their finances, market products based on, specific data algorithms that would be most suited to those clients and things like that. So, yeah, I think that -- the interesting for companies like squares, they they're not they're unburdened from making money at any particular time. They have very small accounts often and they -- but they do have a lot of them. Right. So I think our app should be definitely much more functional than theirs. Frankly, much more robust when we're done.
David Chiaverini: Great color. Thanks for that. And then shifting to a housekeeping item, can you talk about the tax rates going forward?
Derrick Walsh: This quarter is roughly where we usually have around a 29% tax rate. That's where we've generally been at over the last few years. There's been some benefit from time-to-time, as a result of the stock comp, as if we have a period where the stock price shoots up. And there's best things of the awards this relates the accounting nuance of a builds rather than where it used to go through equity, they built it into the tax rate a few years ago, I assume 2016, 2009 might be somewhat familiar with hearing that on the street before. So that's really what will and can shift that rate. But generally 29 has been right around where we've expect to be.
David Chiaverini: Got it. Thanks very much.
Operator: And our final question is from Edward Hemmelgarn with Shaker Investments. Please proceed.
Edward Hemmelgarn: Yes. I just got one quick question. You would expect the -- you talked about the expenses from clearing have been another month, right, I would expect could be according revenues to go up by equivalent, no?
Greg Garrabrants: Yes. Yes, that's correct. Yes, of course. Yes. Yes. Yes. Yes. That's right.
Edward Hemmelgarn: Okay. And one more, you were talking about your -- just to the prior caller, with the capital will allow one to do all the things and more that square does. How would you go about mark to a broader audience?
Greg Garrabrants: Well, I mean, remember, square -- the square is primary business is essentially merchant acquiring, right. So and that business is a great business. I mean, that's a great amazing business, Cash App is sort of, I don't want to speak for them. I mean, this uses an example because I'm -- but that's more of a side business that is not related to most of what the core of what they do. I don't even know if they disclose that revenue on that business. I mean, frankly, we clear for them. But -- so we clear for Cash App, actually. And so we're familiar with what the volumes and things like that. But anyway, I think that obviously they have some this massive base of consumers, because they have this amazing merchant acquiring business. I think the answer to this more broadly is that there really are two primary mechanisms that we will market. One will be by trying to be a great integrated service provider for RAs and BDs, who need an integrated products that from a technological perspective. So the clearing and custody businesses are an accumulation of customers that need services, those services are non-competitive, because we're not running our own RIA network, we're not running our own broker network. And to the extent that the Robo gets of any size, we're going to refer those clients out via referral arrangements to our RIA network. So there's third-party acquisition of customers. And then there's first-party acquisition of customers, which is through direct marketing, cross-selling and all the things that we do now to get customers. And so I think the real the differential is, right as if you're selling a customer, a checking account, you can pay a certain amount of money on the cost of acquisition. If you're selling that customer loans and checking accounts and securities products, then the cost of acquisition can be reflective of a broader product set and allow even more marketing to be done and a greater efficiency when you're measuring that lifetime value and cost of acquisition. So I think that's really the trick to make that happen, and then you can also balance out which particular product has the lowest customer acquisition costs and which one has the best cross-sell and you run the models on that. And that becomes what the consumer acquisition looks like.
Edward Hemmelgarn: Okay. And great execution on acquisition.
Greg Garrabrants: Thank you.
Derrick Walsh: Thanks, Ed.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Greg Garrabrants: Thank you, everyone. We'll talk to you next quarter. And Andy will still be hanging out and Derrick will be doing most of the talking. Andy, you do deep about next finance. No? All right. All right. Thanks everybody. Bye. Take care. Bye.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. And thank you for your participation.